Operator: Greetings, and welcome to GSE Systems Inc. Reports First Quarter 2014 Financial Results. [Operator Instructions] As a reminder, the conference is being recorded.
 I would now like to turn the conference over to Thomas Mei of the Equity Group. Thank you, you may begin. 
Thomas Mei: Thank you, David, and good afternoon, everyone. Thank you for joining us today. Before we begin, I would like to remind everyone that statements made during the course of this call may be considered forward-looking statements within the meaning of Section 27A of Securities Act of 1933, as amended, and Section 21E of the Securities Act of 1934. These statements reflect current expectations concerning future events and results. Words such as expect, intend, believe, may, will, should, could, anticipate, and similar expressions are words that are used to identify forward-looking statements, but their absence does not mean a statement is not forward-looking.
 These statements are not guarantees of future performance and are subject to risks and uncertainties and other important factors that could cause actual performance or achievements to be materially different from those projected. For a full discussion of these risks, uncertainties, and factors, you are encouraged to read GSE’s documents on file with the Securities and Exchange Commission, including those set forth in periodic reports filed under the forward-looking statements in the Risk Factor section. GSE does not intend to update or revise any forward-looking statements whether as a result of new information, future events or otherwise.
 I'd now like to turn the call over to Mr. Jim Eberle, Chief Executive Officer of GSE Systems. Please go ahead, Jim. 
Jim Eberle: Thanks, Thomas, and good afternoon. I'd like to welcome everyone to GSE Systems' First Quarter 2014 Conference Call. Also in today's call is our CFO, Jeff Hough; and Larry Gordon, our Senior Vice President and General Counsel.
 Earlier this afternoon, we issued a press release covering our financial results for the first quarter of 2014. Hopefully, you've had a chance to review the results. But if you have not, a copy of the release can be found on our website at www.gses.com under the Investor Relations section.
 Our results for the first quarter reflect that our end markets in both nuclear and fossil simulation remain challenging. We estimate that approximately $20 million of orders, which were first anticipated we logged in 2013 continue to be delayed. We expect about half of these orders to be awarded later in 2014 and the balance in 2015, some of which could be substantial in size, scope and financial impact.
 Despite these challenges, we were still able to book $6.3 million of new orders in the first quarter of 2014, which is on top of the $11.3 million in new orders we booked in the fourth quarter of last year.
 In the nuclear power space, operators remain in a holding pattern in surveying the energy industry landscape. Nuclear power remains resilient, however, with over 437 operating reactors, 57 under construction and another 484 additional reactors are planned or proposed to be operational by 2030. Clearly, there's still significant market here for immersive 3D gaming technology for training purposes or for engineering segments technology to design scenarios that allow operators to identify and correct problems before construction of new plants, mitigating risk and saving time and money. While 60% of our revenues came from nuclear in the first quarter of 2014, we are focused on diversifying our end markets and growing our nonnuclear revenues at a higher rate than our nuclear revenues.
 U.S. fossil fuel powered utilities continue to delay their capital expenditures due to economic and regulatory uncertainties of coal-fired power plants in light of low natural gas prices and the requirements of the Clean Air and Clean Water Acts.
 Due to the significant -- excuse me, due to the challenging market we find ourselves in, we have and we will continue to reduce operating expenses where practical, but must continue to invest in our business infrastructure by adding business development assets and increasing our software development efforts.
 Our acquisition activities continue in earnest and we remain committed to completing a significant transaction this year.
 Our balance sheet remains strong as much -- as of March 31, 2014, we had $20.8 million in cash, working capital of $23.7 million and 0 in long-term debt.
 Our long-term market opportunity remains, the undeniable and inevitable collision between increasing global energy demand and the shortage of qualified energy industry workers. The demand for new plants and the workers to staff them has already begun to outpace the supply of qualified, trained energy industry personnel. Our strategy to position ourselves as a full-scope provider of engineering, simulation and training products has yet to deliver as we'd hoped. However, the statistics and the forecast show that the situation will eventually turn, and when it does, GSE will be primed and ready to provide the solutions.
 I'll now turn the conversation over to Jeff Hough, who will review our results for the first quarter. 
Jeffery Hough: Thanks, Jim, and thanks to each of you for joining us today.
 Revenue for the first quarter declined by 29.5% to $8.7 million from $12.4 million in the first quarter of 2013 due to 2 main factors. The first is a decline in revenue from our $36.6 million Slovakia simulator project from $2.9 million in the first quarter of 2013 to $700,000 in the first quarter of 2014. This project was completed in April 2014.
 The second item is the decline in revenue from fossil fuel simulation by $1.2 million in the first quarter 2014 as compared to the first quarter of 2013 due to the completion of several large projects in 2013 and continued sluggishness in capital spending by the fossil fuel power utility industry.
 Gross profit in the first quarter of 2014 was $2.2 million, down from $3.1 million in the first quarter of 2013. As a percentage of revenue, gross profit improved to 25.5% from 24.9% in last year's first quarter. Although selling, general and administrative expenses in the first quarter of 2014 were consistent with the first quarter of 2013, included in these expenses were severance costs of $0.3 million in the first quarter of 2014 versus $0.1 million in the first quarter of 2013, and foreign currency transaction losses of $0.2 million in the first quarter of 2014 versus $0.1 million in the first quarter of 2013.
 Operating loss for the first quarter of 2014 was $2.1 million compared to an operating loss of $1.3 million in the first quarter of 2013. The increase in operating loss was mainly due to the lower total revenue.
 Gain on derivatives was $104,000 in the first quarter 2014 compared to a gain of $267,000 in the first quarter of 2013. Our provision for income taxes was $54,000 in the first quarter of 2014, it was $67,000 in the first quarter of 2013.
 The net loss for the first quarter of 2014 was $2 million or $0.11 per basic and diluted share compared to a net loss of $1.2 million or $0.06 per basic and diluted share in the first quarter of 2013.
 Earnings before interest, taxes, depreciation and amortization for the first quarter of 2014 was $1.8 million compared to an EBITDA loss of $0.9 million in the first quarter of 2013.
 Backlog at March 31, 2014, was $34.8 million compared to $38 million at December 31, 2013. GSE's cash position at March 31, 2014, was $20.8 million, excluding $1 million of restricted cash as compared to cash of $15.6 million, excluding $1 million of restricted cash at December 31, 2013. The $5.2 million improvement in our cash balance was due primarily to the collection of trade receivables from our Slovakian utility customer in the first quarter of 2014.
 At the end of the first quarter, we had no long-term debt and our working capital was $23.7 million.
 I'll now turn the conversation back to Jim. 
Jim Eberle: Thanks, Jeff. I'll now ask the operator to open the floor for questions. 
Operator: [Operator Instructions] Our first question comes from Michael Epstein of Northeast Securities. 
Michael Epstein: Gentlemen, at this current rate of loss, you have about 10 quarters to remain in business. What strategy are you using to obtain business, acquire other businesses, grow this business or -- diminish your losses or find a new management team? 
Jim Eberle: Well, we've done a number of those things. I'm not sure if you've been on prior calls or read the transcripts. But we have been hiring new business development assets to help bring in new business. We've been progressing along actually very nicely on our M&A activities, and that's an area that we're pretty excited about. We also have been investing in our research and development for new products and services. So we've also pursued other areas of the world, geographically, that we had not necessarily pursued on an offensive basis, as opposed to responding to RFPs. We have turned over some of the management team that I felt were not performing, and all of us remain committed to achieving our vision. But obviously, the macro environment right now is very difficult, as you may -- you heard during our discussion, we have $20 million in orders in our order forecast that we expected to have in. And obviously, that would dramatically change the numbers had it been in. The forces that push those orders to the right are not within our control, I wish that they were. 
Michael Epstein: Well, I haven't seen any M&A activity. So could you expand upon what you're looking for? And isn't it -- wouldn't it be easier just to put you guys for sale with your cash of $20 million, no debt, a listing -- a list of security and trading on the American? 
Jim Eberle: Certainly, all options remain open. At the board level, we have very serious discussions of the situation of the company. We had a board meeting actually on Tuesday. And sale of the company is always an option. We don't believe, right now, it is our first option. As far as M&A activity, you wouldn't see it because it's behind -- over the wall, so to speak. We have the activity, we have been pursuing a number of opportunities. And in the very last call and in this call, we made some of our most definitive statements about closing a significant acquisition this year. Our last acquisition was, in fact, just over 3 years ago. It's been a good acquisition. And again, I don't know how many calls you attend, but Fukushima was a big event for us, and we had a very robust pipeline at the time, and we flushed the pipeline when it happened because with the lack of visibility of what was going to go on in the industry, the most secure thing we had at the time was the cash on the balance sheet. And so rather than go pursue acquisitions, we had to kind of wait and see how the landscape evolved. Once we saw after, say, 6 months or so that things were pretty steady, then we started building up pipeline again. And the thing that I typically say is worst thing we could do with the balance sheet is make a bad acquisition. So I might be a little more conservative than others, but we do have at least 1 opportunity teed up that we think we have a very good opportunity of closing this year. And I think when -- if this comes to fruition, it will make a lot of sense to investors. It will be in line with the types of companies we've discussed for a long time of what we're looking for. 
Operator: [Operator Instructions] We're receiving no more questions at this time. I'd like to turn the conference back over to Mr. Jim Eberle. 
Jim Eberle: Okay. Well, I'd just like to thank everyone again for your time and your continued interest in GSE Systems. And I'd like to thank the hard-working women and men in the company who work hard every day to achieve our vision. Thank you. 
Operator: Thank you. This concludes today's conference. Thank you for your participation.